Operator: Good morning, ladies and gentlemen. Welcome to Exchange Income Corporation's Conference Call to discuss financial results for the Three and Nine Month period ending December 31, 2014. The Corporation's results include MD&A and financial statements were issued on February 19 and they are currently available via the Company's website or SEDAR. Before turning the call over to management, listeners are cautioned that today's presentation and the response to questions may contain forward-looking statements within the meaning of the Safe Harbor provisions of Canadian Provincial Securities Law. Forward-looking statements involve risks and uncertainties and undue reliance should not be placed on such statements. Certain material factors or assumptions are applied in making forward-looking statements and actual results may differ materially from those expressed or implied in such statements. For additional information about factors that may cause actual results to differ materially from expectations and about material factors or assumptions applied in making forward looking statements, please consult the MD&A for this quarter. The risk factors section of the annual information form and Exchange's offer, Exchange's other filings with Canadian Securities Regulators. Except as required by Canadian Securities Law, Exchange does not undertake to update any forward looking statement. Such statements speak only as the day they are made. Listeners are also reminded that today's call is being recorded and broadcast live via the Internet. For the benefit of individual shareholders and other interested parties. I'll now like to turn the meeting over to the CEO of Exchange Income Corporation, Mike Pyle. Please go ahead, Mr. Pyle.
Mike Pyle : Thank you, operator. Good morning, everyone. With me today is Ted Mahood, our CFO who will review our financial results in greater detail. Looking back at 2014, we can liken our company to Marty McFly and its attempt to get back to the future. Our efforts throughout the year were focused on getting us back to our fundamental and what made us successful over the last 10 years. In other words, being diversified, disciplined and able to support and grow our dividend distributions. Judging by our yearned results, especially our performance in Q4, we have succeeded on every level. We took decisive actions through a series of transactions and initiatives that restored more balance to our operations, improved our profitability and positioned us for future growth. The impact of some of these measures can already be seen in our financial metrics. For the full year of 2014 consolidated revenue grew 7% to $543 million. Consolidated EBITDA from continuing operations increased 15% to $94 million. Free cash flow less maintenance CapEx from continuing operation grew 30% to $35 million. But perhaps the most important side of our progress was the increase to our dividend that we announced in Q4 to $1.74 per share on annualized basis. The dividend increase was a nine fold [ph] in our 10 year history and put us in a weak class of dividend paying companies. The dividend increase is made possible through the efforts we made to decrease our payout ratio through stronger profitability and cash flow. For Q4, 2014, our payroll ratio is 83%; a total that is well within the acceptable some order ranges and materially better than the previous year, is particularly impressive when you consider it was accomplished with the balance sheet that had no secure debt. The disproportionate size of our equity base to our operation in this period, it is payout ratio even more impressive. The closing of the Provisional acquisition on January 2nd, reestablish a more normal debt to equity ratio. The sale of WesTower and the acquisition of Provincial Aerospace were key drivers for our momentum in 2014. And while the transactions occurred in the sense within the same time, they were in fact independent of one another. Each has its own rationale, each was completed for its own compelling reasons and each would have been completed -- being completed without the other. WesTower was sold for approximately US$200 million. The transaction represented our first ever divesture. The sale was principally completed to reduce our exposure to the performance of single entity with the significant portion of its revenue depended one customer. Since first being acquired in 20/11 WesTower underwent massive level of growth to represent more than 50% of our revenue, largely through sales through its single largest customer AT&T. For managing this growth came at a cost. The US operation experienced significant margin pressures placing considerable strain on our consolidated profitability. In essence, WesTower's growth made us less diversified and less profitable. The sale of WesTower US brought more balance to our operations and allowed us to eliminate all of our senior debt at the time. Keeping the Canadian operations in WesTower, however, allows us to take advantage of the growth opportunities in the wireless industry as smart mobile devices become more and more important. This is important since last our Candice operations which have a much more diversified customer base than our U.S. entity again have performed consistently and without the margin pressures that the US WesTower faced. The purchase of Provincial for approximately $246 million was driven by factors consistent with our disciplined acquisition model, Provincial in itself is diversified. Operating three lines of business, its scheduled flight services in Atlantic Canada in Quebec, with its focus on first nation in northern community are extremely complementary to the operations that we have run for 10 years. It has fixed base operations in Halifax and St. John's that are similar to those we operated in Manitoba. But perhaps the most compelling reason for the acquisition was its maritime surveillance operations to focus on protecting borders and offshore assets. As the world becoming more complex, we believe that demand for Provincial's sophisticated technology and outsourced services will always grow. While the primary catalyst for our transformation, however, the Provincial and WesTower US transactions, there were other developments that contributed to our EBITDA and profitability growth in 2014. The steady performance of regional ones are subjugated the focuses on the sales after market engine and products, coupled with the fleet rationalization program of Calm Air and the restructuring of Bearskin were other significant contributing factors. Regional One in particular has exceeded all our expectation since being acquired in April of 2013. In 2014, its EBITDA grew by almost 70% from the level predicated in our purchase price. The company has leveraged its strong industry relationships and strategic location and access to capital from EIC and to sale into a growing international base of customers, regional airline companies that want access to quality, well maintained aviation assets. The gains delivered by Regional One helped to offset the effects of the harshest winter conditions in more than 100 years than the impact they had on our aviation's performance. Most notably these conditions contribute to longer winter road season which directly affected demand for passenger and cargo transportation in the late winter and early spring, as well as wet summer conditions which lowered the demand for fires, crashing and evacuation services provided by number of our aviation companies. Subsequent to yearend, we achieved another milestone by reaching agreement with the Canada Revenue Agency. The agreement effectively puts an end to any questions with the validity of our conversion from an income trust to a public company and eliminates the possibility of being reassessed of the use of this tax pool. As a result of this agreement, we incurred a non-cash charge of $22.9 million relating to these deferred tax assets. The counting charge is the reason behind our net loss for the year. An adjusted net earnings which excludes this loss, this tax charge is $14.8 million up 13% from the preceding year. Our ability to respond to changing market conditions and address operational challenge will service well in the near term particularly in light of recent swings in fuel prices and value of the Canadian dollar. In a fact it is why our business model is based on diversification and disciplined acquisitions. Our business model is what’s made us successful, that's why we are kind of devoted to the considerable effort it took to get back our fundamentals in 2014. It is also why we are now well positioned for growth. I’ll provide more commentary on our outlook and the prospects for growth through 2015 in my closing my remarks. We also completed a new four year debt facility which increased our available debt to $450 million from $335 million which is in line with the company of our size after completion of the Provincial acquisition. This financing ensures we have the capability to move quickly when organic or acquisition growth opportunities are developed. I would now like to turn the call over to Ted who will review our Q4 performance in greater detail.
A - Ted Mahood : Thanks Mike. And good morning, everyone. In interest of time I'll restrict my comments to Q4 results only. Before I begin, I'd like to point out our results are presented with the discontinued operations due to the sale of WesTower US. The results for the current quarter and comparative period are presented in a consistent manner i.e. to say without contributions from WesTower US except for the balance sheet as of December 31. I'd also point out that result of the sale of WesTower US, we revered it back two operating segments. WesTower Canada is now part of the Manufacturing segment. The Aviation segment was not affected by any change. Turning now to our income statement. Consolidated revenue for Q4 was $138.7 million, down 2% from last year. Decline was principally due to performance of the Manufacturing segment which experienced lower volume and work as several of its operating entities. This decline was partially offset by revenue growth by Regional One which continues to see strong demand for its after market Aviation parts and engines. Revenue on a segmented basis, the Aviation segment generated $86.9 million in revenue, up modestly from 2013. The Manufacturing revenue had $51.8 million was down 5% from last year. Consolidated EBITDA was $26.2 million, up 8% from last year. The growth was driven by Regional One and Calm Air which benefited from previous investments in the northern infrastructure as well as the fleet rationalization program. The decline in fuel prices also contributed to EBITDA growth. On a segmented basis, Aviation segment increased EBITDA by 13% to $22 million; its EBITDA margin was up 25.3% from 22.5% last year. The Manufacturing segment's EBITDA was $6.8 million, down from $7.6 million. We reported net loss of $17.7 million or $0.79 per basic share for Q4, 2014. As Mike referenced earlier, the net loss was due to a non-cash charge of $22.9 million incurred as a result of the settlement agreement signed with Canada Revenue Agency. As a result of the agreement, CRA will not assess the use of our tax pool since we converted from income trust to the public corporation. At the same time we will not be able to carry forward any tax losses stemming from a conversion. Going forward and subject to jurisdiction differences and tax planning, we'd expect our go forward tax rate to be approximately 30%. Adjusted net earnings from continuing operations which exclude the CRA settlement charge of $22.9 million and other defined adjusting items generated adjusted net earnings of $5.9 million or $0.26 per share. To be clear, we are excluding the accounting charge because it gives us a better reflection of our financial performance and progress that we made through 2014. In Q4, 2013, we had adjusted net earnings for $3.7 million or $0.17 per basic share. Also included net earnings from discounted operation are the gain on sale of WesTower US of $16.5 million or $0.74 per share. Turning now to our other key financial metrics. Free cash flow totaled $22.5 million, up 26%. Free cash flow on a per share basis was a $1, up 22%. Free cash flow less maintenance CapEx was $11.7 million or $0.52 per share. This compared to $6.5 million or $0.30 per share in Q4, 2013, improvements of 80% and 73% respectively. Consistent with our strong performance across most metrics, our payout ratio in Q4 improved to 83% from 143% in 2013. This was achieved in Q4 despite a completely un-leveraged balance sheet after the sale of WesTower US. More than anything this lowered payout ratio reflects the cumulative effects of the steps we've recently made to diversify our operations and strengthened our profitability. Turning now to our balance sheet. We ended the year with a small amount of bank debt which was offset by our cash position. Of course this change on January 2nd when we drew approximately $230 million to fund the Provincial acquisition. Our yearend working capital position was $95.8 million yielding a 1.93 ratio. Concludes my review of our financial results. I'll now turn the call back to Mike for some closing remarks.
Mike Pyle : Thank you, Ted. Over the past several months we've been extremely resilient in the face of adversity. Even our harshest critics would have to admit that the progress we've made has been considerable. By being more diversified and with access to expanded credit facility we are now very well positioned to capitalize on organic and accretive growth opportunities to 2015 and beyond. In the near term, we expect continued organic growth especially within the Aviation segment. Regional One recently signed an agreement with Lufthansa CityLine to purchase a fleet of 12 Bombardier CRJ700 aircraft over the next 12 months. The fleet purchase further expands and compliments Regional One's already extensive experience in customer support capabilities from Bombardier aircraft. Regional One will be able to monetize these assets over multiple revenue jurisdictions to the sale or lease of aircraft, engine and after market parts. Similarly, we expect that our recent agreement with Sakku Investments will bring opportunities to increase our commitment in the Kivalliq region. We believe that by expanding our presence in the Kivalliq region with infrastructure investment, we will be able to increase revenue for medevac, charter and all other Aviation services. Investing in infrastructure is recently delivered success for Calm Air. We expected it show continued improvement particularly its fleet reorganization program centered on the ATR platform is effectively completed. Visibility for organic growth and Manufacturing is less clear. While WesTower Canada is experiencing strong demand for its products and services, the decline of oil prices may resulted in weakening of demand for Alberta operation in the near term. Demand in SFI is consistent and Overlanders remains very strong. As you heard earlier, the Provincial acquisition will bring immediate accretive growth. Historically, Provincial is generated revenue of approximately $185 million and EBITDA of approximately $45 million. We will see the positive effects of these contributions beginning with our Q1 which will report in May. I would point out that Provincial has the same seasonality trends as the balance of our Aviation entities with a weak Q1 and stronger Q2 and Q3. Over the longer term, we see tremendous opportunities for Provincial Maritime Surveillance Solutions. With access to working capital we believe the Provincial will be able to build on multiple larger projects, serve new clients particularly overseas. As mentioned we also increased our debt facility to $450 million from $335 million. The growth and available capital will allow us to act on acquisition opportunities as they become available. I should point out that the expanded size of our credit facility does not anyway signal a change to our views about having a strong balance sheet. We will continue to target a secured debt to EBITDA ratio of less than 2 to 1. An immediate use of our expanded credit facility will be towards the cancellation of series one debentures that are due in 2015. This move which was wealthy use of approximately $35 million will result in immediate interest saving that will be accretive to our profitability and cash flow over 2015. In closing, the past six months have been a following our business model. It is why we took decisive actions in a number of areas. As a result, we became more diversified, completed our largest acquisition, improved financial results, increased our dividend distribution and most importantly reduced our payout ratio. This return to fundamentals positions us extremely well for continued near and longer-term growth. Thank you very much for listening. And I'd love to turn the call back to the operator for questions.
Operator: [Operator Instructions] Your first question comes from the line of Trevor Johnson with National Bank. Your line is open.
Trevor Johnson: Hey, good morning, guys. Just wondered if you can touch upon for -- I know it's only been a month and half but what weather that we've seen in Atlantic Canada might have on Q1 results for PAL?
Mike Pyle: We that -- significant number of flights cancellation about double, normal little more than doubled we normally experience. But because they are diversified and because some of the stuff with aerospace, frankly more importantly some of the stuff that relates to our six base operations, they are kind of counter to the bad weather end up with more dissing work and all those things, I would suggest that as the PAL's operations are largely unaffected by -- on a net basis by the weather they’ve experienced.
Trevor Johnson: Okay, great. And just any general commentary Mike on the first month and half, what maybe any surprises positive, negatives, how the integrations going thus far?
Mike Pyle: Yes, from an operating point of view I’d say Trevor it's really, nothing dramatic it's doing what it's supposed to do, I would tell you though from a forward looking point of view, we are super excited about the ability of using Provincial's overhaul capabilities in the rest of our business. Overhaul is huge -- you’ve seen our maintenance CapEx it was a significant portion of our cash flow they make up. And Provincial has the ability to overhaul large aircraft the Dash 8's 7080Rs and immediately upon its acquisition we put our presidents together and we're working on a long-term strategy to not only look after our own aircraft but potentially others in our first internal overhaul is underway and we're seeing faster turnarounds under Provincial, better cost containment and Fred probably most importantly a new revenue stream potentially. Provincial is able to take older aircraft from Regional One that may have been parted out in the past and treat them as project aircraft but we have labor available. And turn the back into operating aircraft whether we ultimately use them in our own operations or lease or sell them to third parties. We're - you don’t often me hear I should use the synergy word, but we're really excited on what the medium term looks for that. And like I say we’ve already dipped our toe in the water with having the Provincial folks to our own internal overhauls.
Trevor Johnson: Is Regional One operating closely with PAL thus far and do you expect that to continue?
Mike Pyle: Yes and yes I mean we've -- Regional One has begun to source our aircraft for our whole Aviation group for all our operating entities as well as providing parts. And between the groups of ourselves we have considerable expertise in a number of platforms, virtual strength of the operations of all three companies.
Trevor Johnson: Okay. And then just on Regional One. Can you just remind us or give us an update on how maybe we should think about the CapEx spend and the cash flow profile for 2015?
Mike Pyle: Yes, I mean the hard part for me in guiding you on CapEx is that it’s opportunistic. And so when we announced at the end of last year the acquisition of 12 aircraft from Lufthansa CityLine and should another opportunity like that come up we will jump all over it. But Regional One’s position with what we've already committed to exhibit considerable growth in the current year. Growth CapEx in the balance of our company are very modest, we've completed the fleet rework program at Calm Air in 2014. The last plane goes into service later next month or two. And the only other real significant project in our Aviation business is some Avionics upgrade to increase the efficiency of our planes and as a safety of flying into the far north. Outside of that it's really a maintenance capital expenditure here.
Trevor Johnson: And in terms of Lufthansa, is that still -- do you expect that to run through the P&L in 2015 or do you expect that to bleed into 2016 as well?
Mike Pyle: It will be both I mean some of the -- we're going to put backload on lease to other carriers and so those will have a prolonged impact, others will be brought in and parted out. So although over a 12 to 24 months period. But I would expect to start seeing the result of the acquisitions of those aircraft a little bit in Q1 as we've got, I think we've taken deliver of three aircraft now. So you’ll start to see that a little bit in Q1 but in a material way in Q2.
Trevor Johnson: Great, and then just last one, I’ll hop back in the queue. Just curious if there’s any impact on WesTower Canada from divesting WesTower USA? Is there any change in how they operate or any other repel effects from the divestiture?
Mike Pyle: The only impact was a short term one with information technology base. There was all in one system and we restricted out and put it into their own which is now completed, so it gave a few people some grey hair in the short term but we're through that process now.
Operator: Our next question is from Kevin Chiang from CIBC. Your line is open.
Kevin Chiang: Hi, thanks, Mike and Ted for taking my questions. I guess the first one just to clarify on Trevor’s earlier question just to get a sense so it sounds like maintenance CapEx will be roughly the same as what you’ve spent in 2014 or should we expect some sort of inflation to that number. And then it sounds like growth CapEx outside of something opportunistic will be much lower than what you’ve put up in 2014 and 2013 as a consolidated basis, is that the right way to think about it?
Mike Pyle: Well I think we published the Lufthansa number about what we're spending on that, so that’s really the single biggest growth CapEx that we're going to experience, there’s no budgeted significant aircraft and Manufacturing never has the growth CapEx, so I’d agree with that. Maintenance CapEx obviously will go up for the purchase of PAL for Provincial airlines which I think we've previously said we expect maintenance CapEx; they are approximately $11 million a year.
Kevin Chiang: Okay.
Mike Pyle: So you’re seeing increase as a result of that obviously. And I would point out that we've talked a little bit about the impact of the declining dollar. And the single biggest negative impact of the declining dollar is on the cost of airplane parts. They are direct flow through and so in our business every penny cost us probably something in the range of $600,000 increased whether that be parts cost or overhaul costs, its split but the majority of that would fall into maintenance CapEx. It’s offset off course, however, by the repatriation of U.S. profits at a higher number which essentially offset that charge.
Kevin Chiang: Okay, that’s helpful. In terms of your comments and seeing some weakness in Alberta and in some of your banners. Can you remind us what happened to Water Blast and your other Alberta based companies during the last I guess recession and given that’s when oil prices declined precipitously? Did you see significant margin compression and can you give us some sense of what happened and to guide us in terms of what could happen over the next couple of quarters here?
Mike Pyle: What we saw in the 2009 turndown was our margin stayed relatively strong, but we did see decline in revenues and as a result the decline in EBITDA that came out of the area. It’s a little bit different here and that they tend to purchase some of the -- their product in the U.S. so they are the only ones who are negatively impacted from a P&L point of view in a material way, as you know but we do have pricing power so that’s tended to stay there. I think the key thing to remember is that it’s something in the neighborhood of 5% of our business a little less than that. And it remained profitable all through the last turndown. The demand -- and the reason for that is the significant part of what we do is repairs and maintenance of existing equipment. And even in a downturn people have to have their equipment working. And because of we pride ourselves on being a full service shop with any inventory you possibly need to keep your equipment going. We tend to benefit disproportionately from that in the turndown, so at the end of the day we will see a softening in revenue in that $30 million or so that we're doing that business but I wouldn’t expect a material downturn in terms of margins.
Kevin Chiang: Okay and then just maybe quickly on the Aviation margin. We've seen a good lifts here in 2014 with Regional One and some of the restructuring you’ve been doing and I guess you’re starting to lap those benefits. Is 2014 a good run rate in terms of the margins that we should expect in 2015 outside of any benefits from oil or is there more restructuring upside to those margins you saw in 2014?
Mike Pyle: I would say there is still more upside in the restructuring where -- we still don’t have every plane in service we purchase them all. And we expect further improvement in the margin there in particular and the fuel will help us across the board as well. As well as the addition of power into that so -- well I’m not suggesting it would be as dramatic as it was this year. I would expect that we would continue to grow our margins in 2015.
Kevin Chiang: That’s helpful. And then lastly for me, with your deal with the CRA, you’re now facing a bit of a step-up in your cash taxes just philosophically how do you think about dividend growth here now that you have a bit of a cash headwind you’re facing over the next couple of years as you start paying these cash taxes. So does that change anything about dividend growth or maybe doesn’t change how you think about dividend growth?
Mike Pyle: It really has very little impact on our ability to pay dividend. I’m going to let Ted handle the change from a tax point of view but from a dividend point of view the amount -- the net amount of the tax is not something that it would structure would change anything.
Ted Mahood : Yes, Kevin, we generally expect maybe an incremental increase in cash taxes of about $3 million going forward.
Mike Pyle: And that's -- some total of the new taxes that grow results of not having the tax pool, but those are offset by other tax planning initiatives we have taken in preparation for this. So we think the net cost is something in the $2.5 million - $3 million range which little over $0.10 a share on distributable cash basis. So not enough so that's going to prevent us from doing what we want to do with dividend.
Operator: Your next question comes from Mona Nazir from Laurentian Bank. Your line is open.
Mona Nazir: Good morning, congrats on a great quarter. I know you touched a bit on PAL. But I wanted to delve into your comment of very bullish growth prospects, particularly early in regard to the maritime surveillance segment and demand there. Do you expect significant orders this year or 2016? And just to clarify growth CapEx would only go up once the orders received, is that correct?
Mike Pyle: Right. I mean I think we have to -- let's handle the last question first, Mona. Growth CapEx depends on what we are doing in the aerospace business for PAL. We either adopt aircraft for people and they are going to continue to own them, or we build the aircraft and operate on their behalf like we do for the government of Canada. If we do the second where we are operating and then we have a growth CapEx because we are buying the fixed asset. If we are just doing the work on their aircraft, those are done with progress payments just like SFI so they really don't require any investments from our point of view to do that kind of work. And the projects that we do both so as the single biggest project they have done today was the one for the UAE where they adopted two big Dash A300 cost of up to couple hundred million dollars a plane. And in that case we don't own them. So we had very little capital requirement. Secondarily, in terms of what do we expect? There are a number of significant opportunities that we are working on around the world. Perhaps the biggest one is in Canada where the Northern Search and Rescue, I think the acronym they use is NSR is about to be put out by the federal government. It is a multi billion dollar project over the next 15 or 20 years. We are one of two or three bearers for it. We think we have a great opportunity to win that work. And it is with the government so I can't tell you exactly whether they will be put out or once it is own house quickly it will be adjudicated and so one of the big challenges with Provincial business is a very long purchase cycle. Governments don't make decisions quickly but conversely we are in a good position around the world that is bidding on a number of contracts at any given time. And so I would expect that during -- at some point during 2015 we will have a success with one of those contracts maybe more. But once we start the impact tends to go over several periods while we actually do the work. And so whether there is a big impact in 2015's profitability, probably not. But I would expect that we would see the impact in 2016 and perhaps some better visibility as the years goes on and perhaps we are successful in some of this bidding opportunity.
Mona Nazir: Hey, that's great, thank you for that. Turning to stainless application. You had stated that they were soft volumes, there are no large type projects which were dated as a typical MD&A, I know it is too early in 2015 but I am just wondering if you have seen a change and have you seen any larger projects to date?
Mike Pyle: Yes. We have seen the change. A rule of thumb in that, there is in our SFI business is in any given year it may vary slightly but typically our field work to factory work is kind of 50:50. And last year I believe it was over 70:30 in terms of the factory, the factory was sold out. We just did now the field works to add on to get that extra margin dollar. It is simply we are on a lot of projects being bid, beginning in the fourth quarter of last year, there are increase number of opportunities and that continued into the first quarter and if the trend were to continue we would expect to see starting in our second quarter an improvement in that part of the business. We are bullish on what particularly the second half of this year looks like -- if we land our typical good portion of bided opportunities.
Mona Nazir: Okay, all right. And just for last question for me before I step back in queue. You recently increased your debt facility to $450 million despite having current availability. I am wondering if this maybe force outing [ph] that something from your acquisition pipeline may materialize this year. And what are some of the things that you are looking at if you could?
Mike Pyle: I am not going to comment on any specific deals. But I will say that we've had a great experience with Regional One and so I think it may helps us grow our portfolio on that side, whether it be with expertise in different product lines or related businesses so that aerospace part of the world where we are bullish on. And we are also bullish on stainless fabrication. We need more capacity. We have a single factory in New Springfield and we want to grow that. So I think those would be the two main places you would see. We are in the aviation so you never know what comes up in that. But I think right now you will see us focused on manufacturing and on the aerospace field.
Operator: Our next question comes from Mark Neville from Scotiabank. Your line is open.
Mark Neville: Hi, good morning, guys. The senses you have given on fuel, $0.5 million, is that an after tax amount?
Mike Pyle: No. That's pretax.
Mark Neville: It is pretax. Was there a much of benefit in Q4? I mean is there any lag?
Mike Pyle: There was some benefit in Q4. And there was -- the price of fuel really fell, jet fuel really fell in January and it is actually up somewhat significantly in February, almost start to yearend prices at this point which intuitively make no sense because crude at $50, $152, the problem is that the part of that -- that they still look at use of jet fuel is same as diesel fuel, and diesel fuel hasn't fallen anywhere near as much as gasoline has. So there is reason to believe that perhaps that will improve in the future even at current levels. But there is somewhat of a lag from last year.
Mark Neville: Okay, so you will see the very good impact Q1 and I guess going forward who knows depending on or most -- on the tax the 30% the effective tax that you got to, is that we are guiding for tax rate too 30%?
Mike Pyle: Yes. That's correct. No, probably a slightly at the higher end of the range but that -- because there are so many companies in so many different jurisdictions, it is not a simple number to give you. If one company outperforms in the US the tax rate higher, if one outperforms in Canada the tax rate is lower. So it is an estimate and with I think it is largely cash taxes.
Operator: [Operator Instructions] And our next question comes from Chris Murray from AltaCorp Capital. Your line is open.
Chris Murray: Thank you, good morning, guys. My question, would you calling the series of debentures, I guess first of all I think that will help a bit, it helps in dilution I think if we get some share price appreciation but just in terms of unsecured debt I mean you did mention that you are sort of looking at 2 to 1 for your secured and sort of cap but any thought moving forward on your approach to managing the balance sheet as sort of the company grows, just the balance between maybe secured versus unsecured debt and equity -- and just how you are going to finance perhaps acquisition moving forward?
Mike Pyle: I think we are looking at all the time Chris as we grow and what the appropriate next step is. What we want to make sure is that the key fundamentals of our business is try to deal, always having liquidity and not having covenance issues, a, when you have an opportunity or b, when you deal with a challenge. And I think the proof of putting with that strategy and we deal with WesTower not contributing anything in 2015 WesTower US. And still maintaining our dividend having no covenance issue. So I think if you are going to see us to maintain a position where we live in secured debt, when we look at our bond issue or something like that in the future potentially, we don't have a need for that at this particular moment. And in calling we have interest saving that tightens up our balance sheet, there is another issue that expires in May of next year which gives in the money which will clean up, take this down to I think four convertible debentures which is they way out into to future I think the early is to be 2018. And so I think I love the way that makes our balance sheet look. It is simple, it is clearly has debt capacity within it and let's just work it whatever opportunities that come to us. But we are still that averse. We want to make sure that our leverage is manageable and banks don't make decision for us.
Chris Murray: So then you would also look at call the 2017, debt maturity as well?
Mike Pyle: Yes. I think it is May 2016 I think what it is. I might be -- you are right, it is May 2017. I mean those are in the money so we will look at that if as and when it comes. We are not in a position to call that at this time.
Chris Murray: Okay, that's great. Okay, so just looking back at the tax rate, just structurally again as you starts to get into more of the diversification. One of the questions that I had is even related to your credit facility. I know a lot of other companies are structured credit facilities to be able to move interest cost between jurisdictions just for tax planning. Any thoughts on whether are you guys doing something similar or there are other opportunities to lower your cash tax rate?
Ted Mahood : I mean Chris, like every other company as you note we do things like that to move corporate interest at appropriate rates between jurisdictions to make sure we are minimizing our tax liability.
Mike Pyle: That's part of the planning we've done that offsets the CRA settlement we've completed. I point out that so I think there may be some disproportionate concern about that ability on our dividend that was going to expire in the next three years or so anyway. It is relatively to large -- it is offset about half but things we've already done today so we view that as a very positive step just because we don't have the hangover of the fight with CRA and as confident as we are in our position, the fact that we chose to enter a settlement, didn't want them to work half and there was about it walks in the losses reviews to date and eliminate a potential paying for the next multiple years.
Operator: Our next question comes from Theoni Pilarinos from Raymond James. Your line is open.
Theoni Pilarinos: Hi, guys. Most of the questions -- my questions have been answered but I just want to -- just maybe dig a bit deeper. So I didn't catch about the other tax plan that you have done kind of to offset the tax losses. Could you just explain that one more time and maybe if you talk about how sustainable that is? That's a longer term thing.
Mike Pyle: You didn't hear because we didn't explain it. It is not something that we will disclose. But it is not a tool concept which has a defined life we are going to use it up. It is a structure that within the rules of tax as they exist and commonly use by public companies. And it makes our tax more effective and minimizes within the higher paying jurisdictions.
Theoni Pilarinos: Okay. And that's a long term kind of sustainable thing.
Mike Pyle: Yes. Absolutely
Theoni Pilarinos: Okay. And you talked previously about segmenting your result into maybe aerospace kind of breaking out on the Aviation and aerospace. Are you still looking at that?
Mike Pyle: No decisions have been made on that. We certainly didn't do it last year. We didn't have PAL that time. And it is a challenge for us in the short term as you have to break an entity into a two pieces to do it because PAL would certainly fall into both sides of the equation. But we are looking at it. And we may not able to provide the clearest picture of where we are going to our shareholders and then show them where we are making money. Having said that we got to be in a position to provide real meaningful accurate data. So whether we will be able to get there in the next quarter, do I think it is questions but I think that's somewhere we looked to it in a slightly longer term once we digested the Provincial acquisition.
Theoni Pilarinos: Yes, especially if you are looking at adding some aerospace, more aerospace business to that segment it would be very helpful.
Mike Pyle: Absolutely
Theoni Pilarinos: And then you talked a bit about the impact of oil on the Aviation business. And somewhat in your manufacturing, what about in power, is there any impact for them? I know some of their clients were -- they are energy company, do you see any headwind there or is that a non issue?
Mike Pyle: Not materially though. The challenges we have with their customers are oil driven. It is sucking, icebergs and Hibernia and icebergs are coming either way. And they can't afford to have this to happen. So I mean it put slight pressure with your customers wanted to fine tune your pricing but there is no material impact.
Operator: There are no further questions. I'll turn the call back over to management.
Mike Pyle: Since there is no further question. I'd like to thank everybody for participating in today's call. 2014 was an exciting and important year for us. I look forward to updating you on our progress in coming period. Thank you very much. And have a great weekend.
Operator: This concludes today's conference call. You may now disconnect.